Operator: Welcome to the 2015 Fourth Quarter Conference Call for Genesis Energy. Genesis has five business segments; the Offshore Pipeline Transportation division is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs of the Deepwater Gulf of Mexico to onshore refining centers. The Onshore Pipeline Transportation division is principally engaged in the pipeline transportation of crude oil. The Refinery Services division primarily processes sour gas streams to remove sulfur at refining operations. The Marine Transportation division is engaged in the maritime transportation of primarily refined petroleum products. The Supply and Logistics division is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims; CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer, and Karen Pape, Chief Accounting Officer.
Grant Sims: Good morning, and welcome to everyone. This morning we reported available cash before reserves of $102.3 million providing 1.42x coverage of the total distribution we paid on February 12. That distribution of $0.655 per unit represents the 42 consecutive increase in our quarterly distribution, 37 of which have been greater than 10% over the prior year's quarter and none of which has been less than 8.7%. As we stated in the earnings release, we are not totally immune to certain macroeconomic effects of a bursting bubble in the energy space. A lot of the headwinds have already manifested themselves like competition for the marginal barrel in certain areas where we historically gathered least crude but cannot now compete against those sunk cost economics downstream. We have discussed over the years a reduction in contribution in our heavy fuel oil business, an indirect victim of the Shell revolution. We've also discussed the direct effect on the price of 30,000 barrels per quarter of pipeline loss allowance volumes we collect. Not a big number volume metrically, but when prices drop as precipitously as they have, it can mask the contribution of increasing volumes on our pipelines. The cumulative effect of these headwinds by our analysis is approximately a negative plus or minus $10 million a quarter. Starting in the first quarter, we began seeing pressure on rates and utilization of our blue water coast-wide margins. There are a number of factors contributing to this including, but not necessarily limited to, significant new bills both MRs and ATBs coming into the market at the same time as the orb to the East coast is closed. There are significant declines in Eagleford production, a relatively mild winner and because the paper market for crude products is in such steep contango, people are economically uncertain to keep barrels in storage. Our inland fleet comprised almost exclusively of internal heater barges not moving crude but rather intermediate refined products for refiners, mainly American Phoenix, which is under contract through September 2020 continue to perform well. However, we will have to deal with perhaps as much as $5 million a quarter and reduce contribution from our blue water fleet for the foreseeable future, meaning the Hornbeck acquisition we did in 2013 will back all the way up to 9.5 multiple instead of the 5.5 multiple we enjoyed when times were good and which we recognized would not last forever. The cumulative negative effect is about $15 million a quarter to us, not inconsequential, but certainly manageable. In one sense, it puts us in 1.3 to 1.4 coverage world instead of 1.5 to 1.6, not really a bad position to be in with the practical effect of not being able to pay down LIBOR plus 250 debts as fast as we were with the greatest excess cash we would generate if we lived in a perfect world. Most importantly, we have positioned the partnership not to have to access external capital sources before July of 2019, the exploration date of our senior secured facility. We have four tranches of senior unsecured bonds, one each maturing in 2021, 2022, 2023 and 2024 by design. We have absolutely no need for equity as our excess coverage provides us with substantial financial flexibility. I will also mention that as we began to see the effects of some of these challenges, we began a process last fall to evaluate how we might respond to them. We are diligently taking actions to ensure that our costs are aligned with our business opportunities. Unfortunately, one of those steps necessarily required in evaluation of employee headcount at both the operation and corporate levels. We will take a charge in the first quarter of approximately $3.5 million to reflect certain severance and restructuring expenses. We would expect in combination with other identified cost initiatives to realize approximately $2 million benefit in the second quarter and a full $3 million a quarter run rate in savings beginning third quarter of this year. We're not overlaying, just more concerned about the near to long term prospects for the partnership. Our businesses and strategies that we have put together, coupled with the growth projects that we'll be ramping up in terms of financial contribution throughout the next several years, should position us well to continue to achieve our goals, which by the way haven't changed in 10 years of delivering low double-digit growth and distributions and increasing coverage ratio and ultimately an investment grade leverage ratio, all without ever losing our cultural focus on providing safe, responsible and reliable services. With that, I will turn it over to Bob.
Bob Deere: Thank you, Grant. In the fourth quarter of 2015, we generated total available cash before reserves of $102.3 million representing an increase of $39.4 million or 63% over the fourth quarter of 2014. Adjusted EBITDA increased $55.1 million over the prior year quarter to $137.6 million representing 67% year-over-year growth. Net income attributable to Genesis for the quarter was $27.4.2 million or $0.25 per unit, compared to $26.2 million or $0.28 per unit for the same period in 2014. Segment margin from our Offshore Pipeline Transportation segment increased $51.4 million or 205% between the fourth quarter periods. The increase was primarily the result of the acquisition of the Offshore Pipeline business of Enterprise products in the third quarter of 2016. The acquired business is performing at or slightly above expectations. On a comparable basis, throughput volumes on our Offshore Pipelines increased in the aggregate, both sequentially and on a year-over-year basis as a result of new fields such as Lucius and Delta House being brought on stream as well as the result of development activities in existing fields. The Gulf of Mexico deepwater fields are typically long-lived productive assets that are developed by integrated oil and gas companies or independent producers with strong balance sheets. These fields continue to experience ongoing development activities as they rank favorably for companies prioritizing investment in long term return projects. Onshore Pipeline Transportation segment margin increased $600,000 or 4%, between the fourth quarter periods. The increase was primarily the result of an increase in volumes and associated tariff revenues mainly on our Texas and Louisiana pipeline systems, as well as the initial throughput volumes and tariff revenues earned on our new Wyoming pipeline system from our new receipt locations in Campbell and Converse counties with delivery to our Pronghorn Rail Facility. These increases were partially offset by decreases in volumes and revenues on other onshore pipeline systems. Refinery services segment margin decreased $300,000 or 2%, between the fourth quarter periods. That decrease primarily resulted from lower total sales volumes as compared to the 2014 quarter. The decline was attributable to the bankruptcy of one mining customer and reduced sales to a major customer as they work through an atypical ore seam as a result of a landslide, coupled with increased prior year volumes generated from heavy turnaround schedules at certain customers. We were able to realize benefits from our favorable management of the purchasing including economies of scale and utilization of caustic soda and our logistic management capabilities, which somewhat offset the effects of segment margin of decreased NaHS sales volumes. Segment margin from our Marine Transportation segment decreased $1 million or 4% between the fourth quarter periods. The decrease is primarily attributable to fewer work days relative to the 2014 quarter due to previously scheduled regulatory dry-dockings of certain vessels in our inland and offshore fleets. This decrease is partially offset by a full quarter of operating results from the M/T American Phoenix in the 2015 quarter, which we acquired in November 2014. Supply and logistics segment margin increased by $100,000 or 1%, between the fourth quarter periods, primarily due to improved operating results in our now right-sized heavy fuel oil business relative to the 2014 quarter, as well as an increase in rail volumes at our Scenic Station rail terminal. These increases were partially offset by continued lower demand in our historical back-to-back, or buy/sell crude oil marketing business associated with aggregating and trucking crude oil from producers' leases to local or regional re-sale points. We continue to find it difficult to compete with certain persons in the market who are willing to lose money on such local gathering because they are attempting to minimize their losses from minimum volume or take or pay commitments they previously made in anticipation of new production that has not yet come online. Corporate general and administrative expenses included in the calculation of available cash before reserves decreased by $4.3 million mainly due to lower employee related costs associated with our annual bonus program. Interest costs for the fourth quarter of 2015 decreased by $14.5 million from the fourth quarter of 2014, primarily due to an increase in our average outstanding indebtedness from recently acquired and constructed assets, principally related to additional debt outstanding as a result of financing the Enterprise acquisition. Interest costs on an ongoing basis, are net of capitalized interest costs attributable to our growth capital expenditures. In addition to the factors impacting available cash before reserves, depreciation and amortization expense increased $27.7 million between the quarterly periods, primarily as a result of the effect of placing recently acquired and constructed assets in service during calendar 2014 and the early part of 2015. Equity earnings in our unconsolidated joint ventures also decreased by $9.4 million between the quarterly periods. As a result of the Enterprise acquisition, the composition of our equity investments has changed from year earlier periods and certain basis adjustments have been recognized. Grant will now provide some concluding remarks to our prepared comments. 
Grant Sims: Thanks Bob. As discussed, our businesses are performing well and we expect them to do so in spite of challenges or headwinds that always seem to pop-up. In fact, we expect a major turnaround at one of our largest refinery customers to straddle the first and second quarters, temporarily affecting rail and pipeline transportation volumes in Louisiana. That's the bad news. The good news is that one of the primary reasons for the turnaround is to be able to handle more of the barrels efficiently at and through the rail pipeline in marine terminal facilities we are currently completing. We are aware of several significant turnarounds scheduled to occur in the first and second quarters on several deepwater production facilities. Again, that's the bad news. The good news is turnarounds are associated with handling new production which will ultimately go through our pipeline facilities. We expect to continue to be well served by our business strategies, including being primarily refinery centric, after all, the only consumer approval is a refinery and supporting long-lived world class oil developments of integrated and large independent energy companies that have been around for decades and gone through and survived many commodity cycles. As always, we'd like to recognize the efforts and commitments of all of those with whom we're fortunate enough to work, including their commitments to providing safe, responsible and reliable services. I realize it means little to those who have been affected by our recent personnel actions, but we thank each of you for your past contributions and wish you nothing but success in your future endeavors. With that, I'll turn it back to the moderator for any questions. 
Operator: [Operator Instructions]. Your first question is from the line of Brian Zarahn with Barclays. 
Brian Zarahn: Appreciate the update. I guess digging a little deeper into some of the modest headwinds you discussed, where do you see the $10 million per quarter impact? And is that more in supply and logistics or is it spread across the few business segments? 
Grant Sims: It's primarily in supply and logistics with the competition for the marginal barrel as we stated in the call, that's driven by downstream economics that we don't have whether or not it's committed take or pay or minimum volume commitments to top lines out of certain basins where we have historically had a within basin truck lease purchasing gathering operation or whether or not they're even the owners of those pipes that are competing for barrels to move it through the pipes. That's the primary issue. Obviously the -- we've also, we made reference to it supply and logistics are heavy fuel oil business which historically took the bottom of the refined barrels and blended it back up to a component to make high silver resid for sales in the international markets because of the Shell revolution and general what I would call lightening of the barrels run primarily impact three -- the bottoms of the barrels that are available, now are in better balance with the asphalt demand and cocker feed, therefore it's less to handle. So we've been struggling with that for quite some time. And those are reflected and we discussed it in our third quarter numbers and they continue into the fourth quarter and from our perspective, we're not planning on things getting any better any time soon. 
Brian Zarahn: Then turning to refinery services, it's holding up -- hold up relatively well given the weakness in your end market. Any update to your outlook for the business this year given what's happening in the mining sector? 
Grant Sims: We would anticipate annual sales in 2016 to be in the 130,000 to 140,000 short term sales with that. I mean if you look at some of the information put out in the public by mining customers while $2.07 a pound or something for copper at this point is not ideal from their perspective that their marginal production cost still are in the $1.50 or less per pound. So we haven't seen any dramatic effect on operating rates at this point. 3
Brian Zarahn: And then turning to CapEx, what was total expansion CapEx in 2015 and what are your expectations for this year? 
Grant Sims: The total CapEx on our major projects for 2015 or expected to be approximately $250 million. 
Brian Zarahn: In 2015 or 2016? 
Grant Sims: I'm sorry 2016. 
Brian Zarahn: Okay, so it's down -- what was the final number for 2015?
Grant Sims: Final number for 2015 was on the total CapEx approximately $485 million prior to – not including the acquisition of course that we did this year. 
Brian Zarahn: So your funding is quite minimal for this year and so given you expect to use a revolver for the roughly $250 million, where would you expect to see leverage at the end of the year or shortly thereafter? 
Grant Sims: We will be in the neighborhood of five probably for the 2016 period and going under five and approaching four in a quarter by the end of '18.
Brian Zarahn: Okay and last one from me, understanding you're not planning issue equity but the markets are certainly focused on balance sheet and really aren't paying much for growth. Any thoughts about potentially changing your double digit distribution growth rate? 
Grant Sims: Given our relative size, 0.5% per quarter translates into $550,000 a quarter and if you're worried about $550,000 a quarter, then you probably shouldn't be in the business. 
Brian Zarahn: Fair enough, Grant. Thank you. 
Operator: Your next question comes from the line of Jeff Birnbaum with Wunderlich. 
Jeff Birnbaum: Good morning, guys. 
Grant Sims: Good morning. 
Jeff Birnbaum: I just wanted to one follow up to Brian's last question, the $10 million a quarter impact that you mentioned is primarily in supply and logistics. I wanted to square that with the comment I guess in the lease that it sounded like you thought that some of the more uneconomic decisions being made near the well – competitors were well reflected in sort of 4Q numbers. And so I guess I just wanted to get your take on sort of volumes going forward, how that might compare to the fourth quarter as well as sort of that $10 million, what do you think is reflected in number to-date? 
Grant Sims: We think all of the $10 million is reflected in numbers to-date, if you look at operating statistics that we provided on page six of the earnings release, you can see that our crude oil and petroleum product sales which were really being driven by the two both heavy fuel oil business challenges which we refer to earlier as well as the competition in historically positive margin contribution crude oil lease purchasing, that's what's reflected. So we think that 10 is fully reflected in the -- it was fully reflected in the third quarter and it's fully reflected in the fourth quarter. 
Jeff Birnbaum: Understood. Thanks guys. And then just sort of one additional kind of question on the CapEx front, your mine for the Houston area project there, are you still expecting all the new tankage and pipeline to be in service by the end of '16?
Grant Sims: Yes, in fact I think we would actually anticipate in the second quarter of this year that we would be in service with the Texas project. 
Jeff Birnbaum: Okay. Thanks a lot guys. 
Grant Sims: Thank you. 
Operator: [Operator Instructions]. And there are no further questions at this time. 
Grant Sims: Okay, well thanks for everybody for joining this morning and we'll talk to you in another 90 days or so. Thank you. 